Operator: Good afternoon, everyone and thank you for participating in today's conference call to discuss Super League Gaming Financial Results for the First Quarter Ended March 31, 2019. Joining us today are Super League's President and CEO, Ann Hand and CFO, Clayton Haynes. Following their remarks we will open the call for your questions. Before we go any further, please take note of the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995. The statement provides important cautions regarding forward looking statements. The company's remarks during today's conference call will include forward-looking statements. These statements along with other information presented that does not reflect historical fact, are subject to a number of risks and uncertainties. Actual results may differ materially from those implied by these forward looking statements. Please refer to the company's recent earnings release and to the company's quarterly and annual reports filed with the Securities and Exchange Commission for more information about the risk and uncertainties that could cause actual results to differ. I would like to remind everyone that this call will be available for replay through May 21, 2019, starting at 8 PM Eastern time tonight. A webcast replay will also be available via the link provided in today's press release as well as on the company's website at www that superleague.com. Now I would like to turn the call over to the President and CEO of Super League Gaming Ann Hand. Ann?
Ann Hand : Good afternoon and welcome to Super League Gaming's first quarterly update call. As many know the journey a company takes on the spark of an idea to an IPO is a long and winding one and the IPO is just the beginning of a new phase of growth for Super League, and we are energized with this renewed sense of motivation and the rich landscape of opportunities in front of us to deliver strong performance. First, I will summarize the overall opportunity in eSports and then I will describe our unique position in the ecosystem, our business model, and our results so far against the key performance indicators we believe will drive a healthy trajectory and overall valuation for the company.  We have a great story to tell. We are on the leading edge of an industry that like a flywheel is accelerating rapidly and is increasingly attractive to strategic and financial investors. Every day there are more and more stories about how eSports has become an established and vital part of the entertainment landscape. At the professional level thousands of professional players on hundreds of teams compete in dozens of high stakes competitions that draw Super Bowl like audiences both in person and online. The value of brands, sponsorships, media rights and prize money is rising is the cost of buying these teams and securing franchises and professional leagues. But for all the attention paid to the professional level, we believe there is a much larger opportunity for the world of amateur eSports.  These are the gamers who enjoy the competition, the social interaction and community and the sheer entertainment of playing and watching others play and this is the world we are not only part of but are helping to define and shape. Gaming has become one of the most important forms of entertainment with video gaming revenue in the U.S. now exceeding the U.S. film box office. Video gaming revenue in the U.S. is not only bigger than Hollywood, it's bigger than the NFL, Major League Baseball, the NBA and the NHL combined. There are over 2 billion gamers around the world with 150 million in America alone, that is greater than the number of Americans that participate in organized sports and people enjoy watching competitive video games almost as much as they like playing them. Online video sites YouTube Gaming and Twitch have larger audiences than HBO, Netflix, Hulu and ESPN combined. In 2018, approximately 560 billion minutes of eSports were viewed on Twitch, an increase of 58% over 2017. That's almost 400 man years' worth of watching gaming. The core of opportunity is the growing desire gamers have not only for competitive gaming as a form of entertainment, but for the somewhat missing sense of being part of the community. Our target gamer is not the eSports professional or just the casual gamer but instead the competitive amateur the gamer who every week logs over eight hours of gameplay and watches up to nine hours of eSports related content. We have macro trends working in our favor. The further democratization of competitive gaming is being enabled by advancements in cloud based game streaming and 5G networks and this accelerates what is already a very large and rapidly growing addressable market. Gaming has become a central part of a GenZ or millennials entertainment activity. It is multi-generational and it is evergreen. This is the new sport.  So now let's talk about Super League. Super League is a critically important component and providing the infrastructure for amateur eSports that is synergistic and accretive to the greater eSports ecosystem. Over the past four years, we believe we have become a preeminent brand for amateur eSports by providing a proprietary end to end platform that allows our gamers to compete, socialize and spectate premium, amateur eSports gameplay and entertainment, both physically and digitally. We celebrate amateur gamers and provide a differentiated way for players and spectators to unite around the games they love for a better, more inclusive social experience, previously not widely available. Not only do we offer the best amateur eSports experiences, but also can leverage our derivative gameplay content to become the most comprehensive amateur eSports content network, our premium competitive gameplay experiences and elite amateur broadcasts coupled with the expansion of our game title portfolio, our retail venue partner network, and our strategic brand sponsorships introduce new gamers into our customer funnel to drive audience growth and ultimately consumer and content monetization. At its core, our platform serves two main functions. First, it enables digital and physical experiences which generate gameplay content, and turn this content library enable the second function, which is multi-platform gameplay, and entertainment content distribution. One of these content distribution channels is the physical retail venue itself, where our proprietary visualization and broadcast system creates a stadium screen and transforms retail spaces into interactive and entertaining amateur eSports arenas. In addition this user generated content can be distributed on our own premium digital, Twitch and YouTube channels, as well as finding life on social channels, and other brand partner or third party platforms. The core assets here are audience and content generation.  So let's talk about how this translates into revenue. First, we can monetize our experiences and there are two key ways to do so. Traditionally, we have created our own gameplay experiences to generate audience and content and attracted brand and sponsorship dollars to those offers. That continues to be a core revenue stream similar to our partnerships with Logitech, Best Buy and Red Bull. However, we increasingly have new partners. This can be game publishers, retailers and brands across various categories, who engages to develop their own branded gameplay experiences through our technology for their own customers. Platform as a service is emerging as a significant revenue stream for 2019 and beyond that not only delivers strong margins over time, but also adds to our audience and content arsenal. This is mostly evidence by our 1Q activation with Samsung retail where Super League's platform powered a live retail experience built around Fortnite and the Influencer Ninja that drove traffic to our website and viewership to our Twitch channel. In our recent announcement to bring experiences to Capcom's Street Fighter 5 game title, a popular game franchise for decades, illustrates the value Super League can bring to game publishers. Second, we monetize our content and there are two key ways to do that as well. We can monetize our content commercially through advertising revenues on our own digital channels and by selling our content to third party broadcasters similar to the content Nickelodeon contracted from Super League in 2019 to supplement their YouTube channel programming. We have only begun to scratch the surface on proprietary and third party content distribution value that can be derived from the platform and today's appointment of Mark Jung, a leading media and gaming industry executive and the Founder and Former CEO of IGN, and Former CEO of Fox Digital as a Super League board member validates the opportunity and upside. The second way we monetize content, and again our content is gameplay and viewing, is through direct to consumer paywalls for access to premium, digital and physical experiences.  We have historically offered a freemium model where consumers can join Super League for free to play casual competitive experiences, and charge for access to premium gameplay experiences. We intend to expand our breath of consumer digital offers in 2019, and have already launched a beta product, a digital monthly subscription offer for our youth demographic. So to summarize, we have four primary revenue sources. First two are bucketed around experience monetization, platform as a service for publishers, retail partners and brands, and brands sponsorships for our own offers and then in the bucket of content monetization, advertising and third party content monetization and direct to consumer digital and physical offers. To-date our revenues have been more weighted to experience monetization, but we expect to see content monetization begin to emerge as a material revenue opportunity in the near future. Now when we think about how to drive revenue growth, we focus on five key performance indicators, two of these number of game titles and number of retail partner venues drive audience, bringing more players and spectators to Super League. Through more physical and digital experiences across a wider portfolio to additional KPIs, number of registered users and number of gameplay hours, there is an exponential impact on our content library. This focus on audience and content generation ultimately translates into the final KPI which is viewership, which has an amplification effect ultimately on potential revenue streams and customer acquisition. So let's now talk about each of these KPIs in more detail. First, game titles, we ended 2018 with four game titles in our portfolio, and are currently sitting at five with the addition of Street Fighter 5. More importantly, we anticipate exceeding our original 2019 forecast of six titles by year end, given our active discussions with other identified titles to further expand our reach across various genres, ages of players and skill levels, and with more game titles, brings more players and ultimately more revenue opportunity. Next, retail partner venue. While we were just seeding the build out modernization of our retail footprint, our recent national level announcements with Topgolf and ggCircuit LAN centers provides access to hundreds of locations. We ended 2018 with 46 active venues and grew to 59 total active venues through 1Q and through May we expect to have activated 17 Topgolf and 30 LAN centers in total to plus our theater footprint bringing our active count to 82 venues through the end of May. We have targeted to have at least 200 venues by year end 2019 and are well on our way to meeting or beating that target with a healthy pipeline of existing and potential new retail partners and venues and with more venues come more players and more revenue opportunities. The third KPI is registered users. At the end of 2018, we had close to 300,000 registered users, and we have grown an additional 20% in 1Q reaching 366,000 total user signups with a current trend rate of approximately 1000 registrations day and through the first week of May we have eclipsed 400,000 user registrations well on our way to meeting our 2019 target to double our year end 2018 user registration number. The fourth KPI is gameplay hours. Through 1Q we have generated 36,000 hours of gameplay experiences moving through our platform, growing to close to 50,000 hours by the time we have gotten through April. As we introduce new game titles and deepen the programming and our digital and physical channels, we expect gameplay hours to inevitably accelerate, leading us to a full year 2019 target of 250,000 gameplay hours. And the final fifth KPI is viewership, proving that we can attract revenues to our platform and leverage the audiences the brand partners bring with them, we were able to generate 748,000 views in 1Q which was 80% of our full year 2018 views of 925,000 and that was on the back of just our own programming that was done on our Twitch channel. Through April we are already at 1.4 million total views, making it likely we will exceed our full year 2019 target of 2 million views. We believe over time, we will gain insight into other KPIs like the ratio of players to viewers that demonstrate the full value of a player and a spectator across our core revenue streams. Now before I hand it over to Clayton, I want to highlight our recent partnership with NetLevel, the first nationwide fiber network for out of home entertainment that we announced on May 8. On the surface NetLevel brings commercial benefit allowing us to widen our theater footprint but this partnership also brings capital efficiency and speaks to the way we at Super League are continually identify material opportunities to improve our overall financial health. As part of this deal NetLevel will absorb our existing theater broadband expenditure offering an annualized savings of over $300,000, making this an attractive commercial partnership on multiple dimensions. So that's the summary of our commercial and operational highlights during the first quarter 2019.  At this point, I will turn the call over to our CFO, Clayton Haynes, who will provide an overview of first quarter financial results, after which I will come back on with some closing remarks. Clayton?
Clayton Haynes : Thank you, Ann. Good afternoon, everyone. Today I will provide a brief summary of our financial results for the first quarter of 2019 keeping in mind and echoing one of the key points made by Ann during her prepared remarks, namely, that our current focus as a company has been on building the numbers of registered users and viewers on our platform, expanding our network of venue partners and growing our sponsor partnerships. Given that we are in the early stages of a large opportunity in front of us, as Ann described the first quarter of 2019 financial operating results are not fully indicative of our potential and all the progress we are making as we build out our industry leading position in amateur eSports. As summarized in our earnings release and 8K filed earlier today, first quarter 2019 revenues were $249,000 compared to 129,000 for the first quarter of 2018, an increase of 93%. First quarter 2019 total operating expenses were 6.3 million, compared to 4.1 million in a comparable prior year quarter. This resulted in a loss from operations of 6.1 million in the first quarter of 2019, compared to a loss of 4.1 million in the comparable prior quarter. The increase in operating expenses was primarily driven by $1.8 million increase in non-cash stock compensation expense related to certain performance based equity awards, that vested upon successful completion of Super League's IPO in Q1, 2019. Excluding the impact of non-cash stock based compensation charges, our operating loss was relatively flat quarter to quarter, totaling 3.4 million for the first quarter of 2019 compared to 3.3 million in the comparable prior year quarter. For the first quarter of 2019, we reported a net loss of 16.1 million, compared to a net loss of 4.2 million in the first quarter of 2018. The first quarter of 2019 net loss included significant non-cash charges totaling 12.7 million, comprised of 9.9 million of non-cash interest charges on the convertible debt previously outstanding and 2.7 million of non-cash stock based compensation expense for the first quarter of 2019. Non-cash stock compensation charges totaled $860,000 for the first quarter of 2018. Pro forma net loss for the first quarter of 2019 which excludes the impact of non-cash convertible debt related interest charges, non-cash stock compensation charges and other non-cash charges totaled 3.6 million as compared to 2.9 million in the comparable prior quarter.  As described in our earnings release and 8K filed with the SEC today, pro forma net income or loss is a non-GAAP measure that we believe investors can use to compare and evaluate our financial results, along with other applicable KPIs and metrics discussed by Ann earlier. Please note that our earnings release contains a more detailed description of our calculation of pro forma net loss, as well as a reconciliation of pro forma net loss with the most directly comparable financial measures prepared in accordance with GAAP. Looking at the balance sheet as of the end of the first quarter of 2019, we ended the first quarter with 21.5 million in cash, no debt and total shareholder's equity of 30 million. This cash position reflects cash raised in our initial public offering, which closed on February 27 the net proceeds from which were 22.5 million. With that I will turn the call back over to Ann for some additional remarks. Ann?
Ann Hand: Thank you, Clayton. We realized that it is still early days. Our primary goal is to grow our ecosystem as fast as possible and we are confident that revenue growth will ensue and accelerate as we grow. We will keep coming back to the core themes of building audience and generating content and we do that in partnership with game publishers, brands and retailers that bring their audiences into Super League through digital and physical experiences that create consumable entertainment content.  In summary, we play an integral role in the large and growing market space of eSports and are well positioned to be at the epicenter of significant growth of the amateur ranks. We are pleased with the 2019 1Q performance and like the trends that we see on revenue growth and operational efficiency and most importantly, we are meeting and beating all of the KPIs we have outlined. We expect the proceeds from our IPO to give us the cash and liquidity needed to execute our plan. In addition to our very active investor outreach and analysts conversations, we will be participating in several investor conferences in the coming month, including meeting with investors and analysts at the E3 Games Conference in Los Angeles in mid-June. We expect that the combination of executing our plan, achieving our KPIs and actively communicating these results to you and the wider investment community will result in significant shareholder value enhancement.  And one last point I just want to make. I again want to welcome Mark Jung to our Board, it is a pretty significant opportunity for us to have a leading gaming and media executive with 30 rich years in this intersection of two market spaces to come alongside us and to give us guidance as we grow Super League.  And with that Clayton and I will now take your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Mark Argento of Lake Street Capital. Your line is open.
Mark Argento: Just a couple of quick questions. You walked through the KPIs that was really helpful, you know, in terms of priorities, how do you think about this new game titles drive, you know, venues that drives users or maybe just help us think of the funnel and how you kind of prioritize your spending and your focus?
Ann Hand: Yes, it's a great question. Historically, what we were doing is we were in a limited movie theater footprint, with primarily two fantastic titles, League of Legends and Minecraft and we were really focused on consuming our technology platform ourselves to advance it. So what we're really starting to demonstrate is the capability of the platform now has to both roll in new game titles at a faster rate, hence the Street Fighter 5 opportunity for us to move into the street fighting space and as well, the venue partners because now what's necessary for a retail venue partner to be able to transform their space into a Super League, kind of eSports arena is just adequate broadband, and the ability to accept the live stream feed of our stadium screen on a big screen.  And so what I often say to investors and very much was a big part of the IPO roadshow was that, in a way, this is the first year where you're starting to see us really unleash the power of the platform, we're opening the funnel up, instead of that very controlled focus on a couple titles in our own venues, we're now starting to, in a way, bring more customers into casual competitive play, which is really what we're about. We aren't trying to articulate that we are the minor leagues for all eSports. There are billions of gamers and we are providing a new and different way for them to physically come together and socialize around games. So with the relationship really every time you add a game title, it's a new community of passionate gamers, but certainly the power of the new distributed retail partner network what that does for us is that is almost a really low cost customer acquisition strategy because now that foot traffic that's already coming in to those venue partners locations, now have an opportunity to come into the Super League platform as well and bring their gameplay to us, or perhaps just their interest in socializing and spectating around our experiences. So it does have that flywheel effect that I did allude to earlier. I want to make sure we also don't undersell the progress that we're making with Super League TV, our own proprietary Twitch and YouTube channels. It is early days, but we do believe that there's a lot of unmet demand and thirst for some of our highly entertaining content that we can produce through these experiences. And more audience brings more people into the funnel.
Mark Argento: In your prepared remarks, you did mention something, kind of new to me, the opportunity in terms of a paywall, or actually charging for certain types of games, is that really going to be driven by the types of titles if you're focused on titles that kind of skew to an older demo, or maybe more of a fanboy customer base, that opportunity exists? Can you just walk us through the thought process there?
Ann Hand: Yes, I mean, historically, in the early days with our products around Minecraft and League of Legends that had a seasonal nature to them. We were in many cases charging for those events, because players were joining for several weeks of gameplay in a physical environment and what you've been seen us doing is doing more free to play events just to introduce Super League to that more casual competitive player and get people in through kind of one-off experiences that then can kind of build their relationship as we try to convert them deeper into the funnel. But what we realized to your point is, is that gameplay is just one type of content. And increasingly, we're seeing an interest in people wanting to consume other types of content that we can offer through our platform. So as we've started to move into the beta tests that we've built around our youth demographic, for a subscription, a monthly subscription model, it's certainly that, there's really three types of things we can bundle and give to players. One is access to premium content for viewing consumption. One is access to premium gameplay experiences and the third is access to important tools that allow them to enhance their own personal gameplay. And in the case of what we do with our youth program, we also do offer them access to additional server space and things that makes their gameplay more exciting.
Mark Argento: Then, just one around the balance sheet, looks like kind of the burn levels Q4 to Q1 in a kind of backing out the non-cash looks like, you know, fairly consistent what's the thinking in terms of kind of run rate burn over the next few quarters as you can get to continue to build out partnerships, and not that there won't be revenue, but more focused on the ecosystem versus pure monetization? Should we kind of look for these similar types of levels of kind of spend and burn? Any thinking there would be helpful. Thanks.
Vance Chang: So yes, certainly, as you mentioned, our monthly burn is still trending at just a currently a little bit over 1.1 million or so per month and we certainly expect that trend to continue, although it will depend upon the timing of new games, new partners and sponsorship as we've kind of discussed before, we consciously invested in our management and resources in advance of the IPO, to ensure that we have the appropriate resources in place to execute our business plan. We're certainly pleased that we were able to achieve sort of the Q1, 2019 results with the level of OpEx spend that was consistent with Q1 of 2018 and we look forward to continue our efforts with respect to continuing that trend. As such we don't expect a significant increase in OpEx throughout 2019 however we will continue to invest in the business and increase resources as required, depending again upon the timing of new game titles, venue partners and related opportunities.
Operator: Our next question comes from the line of Llya Grozvosky of National Securities. Your line is open.
Llya Grozvosky: I just wanted to kind of delve in a little bit into the user number. So and you said that, at the end of April, you're currently with registered users of about 400,000? Can we get a sense of how many people have actually participated in a Super League event in live and in person?
Ann Hand: So first, I want to state that we have never -- we have resisted, since our inception, anything that wasn't very specifically targeted towards bringing in users relevant to the experiences that we offer. So we have not gone out and tried to find lures or ways to build up a registered user base that is not relevant to the types of experiences that are important to them. So what you can deduce from that is that the majority of that user registration base are people who are interested in playing the game titles that we spent most of last year focused on which is Minecraft, League of Legends and Clash Royale. And so with that, almost all of that registered user base has participated in some type of Super League experience. Now, that doesn't mean that they've all been live event based, because we were in that very controlled footprint of 16 cities, we only had so much reach. Now as we start to expand and move into being and close to 82 venues by the end of May, now we're getting into those second tier and third tier markets, that are allowing more people to be able to interact with Super League physically as well, but we have run as well online tournaments that give a chance for other people to participate in Super League ahead of us getting to their accounts [ph].
Llya Grozvosky: Okay, got it. And then just on the venue side. So when we think of a large scale event, kind of maybe like your city championships or something like that, how many people can you give us a sense of how many people show up to something like that when it's at a movie theater in a large scale place? I mean, I know, just from the Samsung experience that I had gone to I saw probably 1000 people or so there downtown in Samsung, kind of how often do you anticipate having something like that? Large scale.
Ann Hand: Yeah, it's a really good question. It speaks to the platform as a service revenue that starts to emerge in a very strong way for us in 2019. Because of the flexibility of the platform, we can now be hired by brands like Samsung to drive larger experiences that allow us to grab and reach a much wider base of players to bring in through the Super League platform and I should note that that Samsung 837 experience, the only place you could watch that experience, if you didn't happen to be in New York City at that store, was to go to the Super League TV Twitch channel which certainly helps us with audience growth and brand awareness.  When we've historically run events, they can be anywhere from 30 to 100 players and it really depends on the way we've constructed the tournaments and in games like League of Legends, we've had to make sure that we always have things and units of five to kind of structure around it being a five versus five game title and Minecraft, we've been able to run things where we can have the number and size of teams have more flexibility to it. The key there is is that really two drivers that make that number meaningful, is when we're able to start having a cadence of nightly events, right. So instead of us just coming into the theater, once a week, when we're able to come into that venue or a Topgolf two, three times a week, then you start to multiply that times 30, 40, 50 players, times two hours of gameplay times up to 60 Topgolf venues across the country and that's where you start to see those numbers become material and meaningful.
Operator: Our next question comes from the line of Mike Latimore of Northland Capital. Your line is open.
Mike Latimore: I guess Ann you mentioned, you highlighted Samsung, I guess, you know, was that sort of the biggest revenue generator in the first quarter? And then you've also talked about this, you know, you've had this Red Bull tournament, I guess, did that generate revenue in the second quarter?
Ann Hand: Yes, absolutely. So you know, to the earlier question, Samsung really is the majority of that platform as a service revenue and it is a new way that we're going to be able to run more experiences that have a very attractive financial profile to them, and do allow us to move into those higher number of players that Llya earlier mentioned that you saw at the New York City event. But all of our brand partner relationships, like Red Bull, have a commercial benefit to us and really, when you look at the Red Bull opportunity they've been a fantastic partner for us over the last couple years. They really have a lot of interest and the amateur and that notion of kind of grassroots community so they love the fact that we're a hyper local expression of amateur eSports and so that is a brand partner deal that brings in revenue, but also as well brought in some really healthy great viewership when we did the live broadcast of the Red Bull All Stars weekend.
Mike Latimore: And then you've announced several new partnership, customers this year, maybe you can talk a little bit about you said you can give any detail about you know, like Topgolf, ggCircuit and Capcom, you know those three seem important. How do you see those relationships playing out over time and how do you monetize them?
Ann Hand: Yes, I mean, we've always felt that we had an opportunity to do something that could be very complimentary to game publishers own strategies around how to bring more people into their game title and get the people who are passionate about that game title, to play it longer and so with Capcom it's just a really exciting partnership, they came to us and said that they felt that creating that hyper local stickiness around this fantastic title, that Super League could be a good partner to do it. So that's very much in the spirit of that platform as a service revenue stream, similar to the Samsung opportunity. When it comes to retail partners, and this is something that again, it was important that I wanted to be very transparent about in the road show. We are just beginning to think through what these commercial partnerships could look like and we're pretty excited about the way those conversations have gone. We're exploring multiple revenue streams, talking about, you know, is there a fee to charge the player themselves because we're offering them a premium experience? Is there a way that we can enjoy some advertising revenue in and around the broadcast of that gameplay.  We have even talked, although, again, it's early days about potential food and beverage, rev share. So we believe that we can get a pretty powerful footprint of physical venues established with some pretty wide reach with just 3, 4, 5 national partners and then inside each of those national partnership they could be pretty material to the bottom line of the company from a revenue point of view.
Mike Latimore: Great. And then just last one, have you looked out over the next 12 months, what would be the sort of the most important additional feature you'd like to launch on your platform?
Ann Hand: Yes, I mean, it's really why we wanted to give an update on the beta testing we're doing around consumer subscription. We in the roadshow spoke to the fact that we wanted to have something in beta launch by the back half of 2019. We've gotten a jumpstart on that and we've really been able to broaden our thinking about the things we can uniquely provide right now, to those consumers that have registered with us and have an interest in identifying themselves as Super Lakers. So I'm excited about where that's going and that we got a good jumpstart on it. And really, the two most important metrics that can continue to drive people into our funnel is more and more content experiences, because that's how we bring you in, and the result of that as well as more audience. So we're going to continue to report on these five KPIs we spoke about today.
Operator: [Operator Instructions]. Our next question comes from the line of Keith Gil of Carter Terry & Company. Your question please.
Keith Gil: Mike just asked the question I was going to ask. So I just want to say congratulations on the IPO.
Ann Hand: Thank you very much. I know that it is, as I've said earlier, it's early days. We feel like NASDAQ was made for small cap companies like ours and we feel like we're in a really strong position now to execute our plan boldly. We really appreciate the public markets support of Super League, and we think there's a lot of good things to come.
Operator: We have a follow up question from Mike Latimore, Northland Capital. Your line is open.
Mike Latimore: I guess just a couple of other things and you touched on kind of 5G earlier. How do you see that or any potential partnerships there as playing out over time, if that's something that you could you guys could benefit from?
Ann Hand: Yes, it's a really good question because when you look at all the announcements you've seen around cloud based game streaming, the announcements around 5G none of these are perfect silver bullets. This is kind of cutting edge technology that you know, but what it is doing it is further democratizing competitive gaming for the everyday consumer. It's meaning less dependency on the physical hardware they need to invest in to play these games competitively. It is giving them access to the adequate broadband or better access to adequate broadband that's required for a lot of these high intensity games and we have had a lot of great conversations with telcos because gaming is one of the ultimate proof points in the power of 5G. So we believe that the partnerships with telcos will be an essential part of our future.
Mike Latimore: Got it. And I know you're looking at some of the platform as a service opportunities. How about just the brand sponsor sort of pipeline? I know, that's been historically a big revenue generator for you but what is the kind of the brand sponsor pipeline look like?
Ann Hand: Yes, that's really the business we've been in the longest to your point and so we have a pretty active pipeline, that's healthy and we can have a pretty good line of sight to understand kind of the probabilities of where deals are at certain stages and get a good handle on how we can underpin the revenue expectations we've set internally for ourselves. So that is a place where we have good visibility, what we're excited about the platform as a service is that as you can see with the numbers, our revenues have gone up, but our cost of revenues have gone down in 1Q versus relative to 1Q 2018 and we like that trend pattern.
Operator: At this time, this concludes our question and answer session. I would now like to turn the call back over to Ms. Ann for closing remarks.
Ann Hand: Great. Thank you so much. We'd like to thank everyone so much for listening today's call and we look forward to speaking with you in our upcoming conferences or when we report on our second quarter results. Again, welcome to Mark Jung for joining our Board and we really again just appreciate all of your support and interest as investors and analysts and we're here to do a good job for you. You have our word. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.